Operator: Good afternoon ladies and gentlemen, and welcome to the Innate Pharma Healthcare 2017 Results Conference Call. At this time all participants are in listen-only mode. Later we will conduct the question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Dr. Mondher Mahjoubi, Chairman and the Executive Board and Chief Executive Officer of Innate Pharma. Sir you may begin. 
Mondher Mahjoubi: Thank you. Hello, everyone. Good morning and good afternoon and thank you for joining us for Innate Pharma Half year 2017 results conference call. Innate Pharma issued a press release earlier this morning detailing our half year results for the year 2017. If you have not seen it please go to our website innatepharma.com; you'll also find a presentation that you can follow and summarize the prepared remarks of today's call. On the call today with me I have Laure-Helene Mercier, our Chief Financial Officer; Yannis Morel, EVP, Product Portfolio Strategy and Business Development; and Pierre Dodion, Chief Medical Officer of the Company. Slide three shows the agenda of today's call. I will give you a brief introduction of the operational highlights. Next, Laure-Helene will provide a summary of our financial achievement in the first half of 2017. After that I will come back with some closing remarks and touch on the news flow. We will then open the floor for questions. As a reminder, during today's call we'll make forward-looking statement based on our current expectation, our actual results may differ materially from such statements. Please go to slide five. Besides the robust financial position, where Laure-Helene will go into more detail, the first half of the year overall has been strong in terms of key pipeline achievement and opened up new opportunities to expand our clinical proprietary pipeline. There were key progresses for each of our clinical program. First, a dose escalating Phase I trial of our fully owned product candidate IPH4102 that operated favorable safety profile and promising clinical activity in patient with cutaneous T-cell lymphoma. Second, the Phase I trial of lirilumab and nivolumab was expanded by our partner BMS and now notably includes a randomized cohort in head and neck cancer. And third, the dose escalation part of the Phase I trial of monalizumab in combination with durvalumab positioned to cohort expansion in several tumor type. Lastly, we are in first our clinical pipeline with the acquisition of IPH5401 a first in class antibody targeting C5aR. So now let me provide you with a little bit more inside on these achievements and please go to slide number six. You know that Innate Pharma's positioning realize on a deep and strong roots in two axis. One is the antibody technology, and the other one is a science of Innate Immunity. And our strategy is to grow as an organization by building on those roots with three axes or pillar. The first one is of course the modulation of the active of immune cells to NK Cell Checkpoint. I am notably referring here to lirilumab and monalizumab, but also to NK cell engages through our by specific platform with the targeting of NKP-46. That's pillar number one, that's our DNA and that's why we'd like to continue to lead and bring the next wave of innovation. The second pillar is one of the most recent and represents a new frontier in the immuno-oncology field targeting the tumor microenvironment. We know that, PD-1 PD-L1 inhibitors are not the panacea and there is still room for improvement and acting on the tumor microenvironment is of paramount if we would like to improve the activity of immunotherapy. I will get back to this pillar in more details shortly. The third one is of course, targeting tumor antigen with cytotoxic antibodies such IPH4102 or IPH4301. On each of these pillars, our science and expertise open opportunities that can potentially translate into benefit for patient which is our mission at Innate Pharma as you know. Now how did our clinical portfolio progress in the first half of 2017. Please go to slide number seven. In the first half of this year, we had the read out of the dose-escalation part of the Phase I trial with IPH4102 our proprietary product candidate in advanced cutaneous T-cell lymphoma positive KIR3DL2, which is the target of 4102. Those results which were recently presented at the International Conference on Malignant Lymphoma in Lugano, demonstrated that IPH4102 was well tolerated with no dose limiting toxicity. Furthermore in an elderly and heavily pre-treated patient population 4102 showed a very promising clinical activity, notably in a sub-population of CTCL patient called Sezary syndrome, which represent the highest medical need in this disease. Indeed in these patients whom accounted for 19 patient out of the 24 the response rate was close to 50%. I am talking here about objective response rate including one complete response and eight partial response. And the median progression free survival was close to 11 months. Please go to slide number eight. I remind you that IPH4102 is a fully owned asset for which our strategy is to retain the development and marketing advice. Advanced cutaneous T-cell lymphoma and in particular Sezary syndrome is a niche indication for which IPH4102 was recently granted orphan drug designation both in the U.S. and in Europe. Actually cutaneous T-cell lymphoma account for 3% to 5% of all non-Hodgkin lymphoma and are approximately 6,000 new cases per year in the U.S. and in Europe alone. Survival is poor in the advanced form of CTCL and Sezary syndrome has the poor prognosis. Even though several drugs are approved for the treatment of advanced CTCL, there is no standard care and no drug is approved for Sezary specifically. There is strong need for more options, show in a long-term clinical benefit, i.e. improved safety and durable activity. We are therefore very encouraged by the data we have seen so far with IPH4102 and are now working on the next step of its development. You know that two cohort expansion are planning in the ongoing Phase I, aiming at generating more data in the two sub groups of patient with the highest met medical needs and the highest expression of KIR3DL2 i.e. Sezary syndrome and transform of [indiscernible]. These two cohorts have started this summer and we expect to get the first result in the first half of 2018. We also had started to consult with the regulatory agencies to discuss how a pivotal program would look like and are working on two parallel impacts, as such the market strategy in Sezary syndrome heavily pretreated with high unmet medical need, but in parallel we are working on a broader CTCL opportunity and even beyond CTCL in particular for peripheral T-cell Lymphoma, those would start mid-2018. We are very excited with this program and look forward to updating you on its progress in due time. That’s on the proprietary pipeline side. Now if you go to slide number nine, you would get an update on the partnered program and during the first half of 2017 we have also made important progress with the lirilumab and monalizumab. For lirilumab we had read out of the efficacy study, testing lirilumab in monotherapy as a maintenance treatment in elderly patient with acute myeloid leukemia who are not eligible to transplantation. As you know they were disappointing and we will share the full data at an upcoming medical meeting toward the end of the year if the abstract are accepted. On the combination side, you may remember the very preliminary, but promising data published at FITC [ph] in the second line head and neck cancer. Our partner Bristol-Myers Squibb expanded significantly the Phase I/II trial exploring the potential of lirilumab in combination with nivolumab into additional cohorts and solid tumors. Included in particular randomized cohort in PD-L1 positive second line head and neck cancer and the first ever triple combination of lirilumab, nivolumab and ipilimumab also in head and neck cancer. That was of course a key step for this program and we hope to be in a position to update you on its progress in due time. On the monalizumab front, you may remember the progress on the monotherapy side that was published end of 2016 on the safety side and of course we'll update you on the full data from the monotherapy in the first half of 2018. However the trail test in monalizumab in combination with durvalumab the anti-PD-L1 of our partner AstraZeneca is still ongoing and progressing well. The dose-escalation part of the Phase I was completed end of 2016 and cohort expansion started in several tumor types in 2017. We look forward to keep you updated on this program in 2018. Please go to slide 10. We are very proud to have been able to successfully acquire the first-in-class antibody targeting C5aR now called IPH-5401 from Novo Nordisk back in June of this year. IPH5401 is a clinical stage antibody that complement and strengthens our portfolio in a key area of targeting the tumor microenvironment, a new function in the field of immuno-oncology. As a reminder, over checkpoint inhibitors have provided great benefit to patient in the treatment of cancer, long-lasting responses for PD-1, PD-L1 and good safety profile. The majority of the patients still doesn’t drive benefits from this strategy. Actually turning the existing tumors into immune sensitive one is a major goal for research and drug development and working on the tumor microenvironment is one of the most promising strategy to overcome resistance to checkpoint inhibitors. As exemplified by the recent data with ideal pathway in particular. If you go to slide 11, now, you are going to have a very schematic representation of the role that IPH5401 may play and its mechanism of action. Actually IPH5401 targets and blocks the receptor to a key molecule called C5a. C5a has been found to be over expressive by certain tumors attracting certain type of immune suppressor cells into the tumor microenvironment such as myeloid-derived suppressor cells and neutrophils. These cells have a poor general effect by not only generating and producing inflammatory and anti -- sorry antigen factors but also by potentially blocking effector cells such as T and NK cell and hampering the activity of PD-1 checkpoint blockades. We recently published data showing that IPH5401 inhibits integration and activation of C5aR expressing MDSC or neutrophils and that the combination of blockade of C5aR and PD-1 synergistically reduces tumor growth. As you also know, favorable safety profile was established earlier trials with the compound in rheumatoid arthritis. We expect to initiate clinical studies with IPH5401 in oncology next year. With that I'd like to hand over to Laure-Helene to discuss the financial position. Laure-Helene, over to you. 
Laure-Helene Mercier: Thank you, Mondher. And thank you everyone for joining us today. You have all seen our figures for the half year that we remind you of on slide 13. And that are marked by the relatively stable revenue line and sharp increase in operating cost. And I will quickly comment on those before going to our Q3 which is as you know the cash position. So on slide 14, with regard to the revenue line as usual in IFRS there are two main sources, revenues from collaboration and licensing agreements and government financing for research expenditures essentially comprising research statutory. The revenue and other income at EUR21.3 million was largely unchanged compared to the same period last year, with income from licensing agreements slightly below and research tax credits slightly above the previous year period. This later mainly results from the increase in staff cost and the impact of the amortization of the change to tangible assets that can be recognized after a new guidelines from the second half of '16. As a reminder, licensing revenues are related to the phasing of the recognition of the upfront payment received from AstraZeneca in 2016 and are essentially flat as the program started shortly after. We also completed the recognition of the Bristol-Myers Squibb front in '16 and so this doesn't account anymore in our revenue line. Operating expenses at EUR39.5 million increased sharply by almost EUR16 million over the same period last year, largely driven by higher R&D cost from subcontracting related to the operational progress of IPH4102 and our technical pipeline, but also staff cost and share based payments. Overall, the increase in R&D costs demonstrate our commitment to drive our proprietary project to the next stage of development, as well as our investment in the reduction in our pipeline. The increase in G&A was mostly due to non-cash relevant equity installment accounted to employees in first half of '17 including Mr. Mahjoubi, following his appointment as the Chairman of the Executive Board. As a consequence, the operating loss for the first half of '17 amounted to EUR18.2 million compared to EUR2.9 million for the first half of '16. Financial result amounts to EUR5.1 million loss to be compared to EUR0.2 million loss for the first half of '16 driven by exchange losses of EUR6.2 million resulting from the recovery of the euro versus the U.S. dollar during the first semester. The main part of which is unrealized losses for EUR4.6 million. As a result, net loss for the period increased to EUR23.4 million from EUR3.2 million in the same period last year. However, with several non-cash relevant items that were not there in the first half of 2016 as I just mentioned. On slide 15, cash, cash equivalents and financial assets amounted to EUR204.1 million as of June 30, 2017, a decrease of EUR26.6 million compared to the end of last year. These excluding a milestone payment of €15 million from Bristol-Myers Squibb bond rights in the first half of '17 amounted to EUR40 million. Please note that there is not yet account for the tax credit in the amount of EUR9.1 million for the fiscal year 2016 that we received in July this year. Going forward, we would expect general trend toward an increasing cost for clinical studies while we continue to invest in our proprietary pipeline at a similar pace as you have seen over the last year. As you can see we have a solid cash position and given our strategy involves multiple partner, we could receive significant additional milestone payments in the near-term as exemplified by the recent milestone payment from Bristol-Myers Squibb. With this, I will turn the call back to you Mondher.
Mondher Mahjoubi: Thank you, Laure-Helene. And we get into the end of this presentation. I may ask you to go to slide 18. Just to remind you actually our overall strategy and then talk about the news flow. As you know, my goal is to build on the science of Innate Pharma to bring benefit to patients. So we'll remain a science driven organization, but we cannot put the patient at the center of everything we do in order to provide solution and innovative medicine that can improve patient. And that could only come from our pipeline first, and we will continue to really strive for scientific leadership in the field of immunotherapy overall and Innate Immunity in particular through the different assets that you know in our pipeline. But in the same time, we have great opportunity with IPH4102 to take it to the market, hence the need to start building up late stage capability very focused but yet key in order to deliver on our pipeline of first-in-class agent and IPH4102 is the first of them. And last, but not least you can expect us to continue really to partner with leading immunology company in order to deliver the value for the broad potential assets that we have and as we have always in the past. Actually as I already said PD-1, PDL-1 are really great and have provided tremendous benefits for patients, but it's not the end of the story and the name of the game is going to be combination strategy and we want to position Innate Pharma as partner of choice bringing innovative medicine with interesting and attractive mechanism of action to be combined with PD-1 or PDL-1 antibody. So on slide 19, you have the high level view of the key news flow. Clearly from the ongoing clinical program we should expect update from the different studies in particular the combination strategy of both lirilumab and monalizumab essentially with of course the PD-1 PDL-1. But we have for monalizumab combination strategy with cetuximab that we are conducting ourselves and we should be in a position to communicate this result in 2018, as well as the update from the cohort expansion that I mentioned earlier for IPH4102 we started the cohort expression in the middle of the summer. It's recruiting well and we should be in a position to update you in the course of 2018 on the data in Sezary syndrome patient as well as in transforming mycosis fungoides. I think for IPH4102 further introduction with health authority to better design the registration strategy and of course advancing the asset to the clinical stage will happen in 2018. And last but not least as I already mentioned IPH5401 will position into Phase I and in particular will position into Phase I/II combination with an anti-PD-1, PD-L1 in the course of 2018 for the first time in oncology because the drug was the de facto generale in the past. With that, I would like to hand back to the operator now for question-and-answer session. And thank you in advance for your interest and any question you may ask. Operator, back to you.
Operator: Yes, thank you. [Operator Instructions] And we have a first question from Mr. Michael Schmidt. Sir, the floor is yours. 
Michael Schmidt: Hey, guys. Thanks for taking my questions and congrats on all the progress. I had a few pipeline questions, I'll just ask one at a time, maybe first on lirilumab, obviously great to see progress here in head and neck cancer. But this large Phase I study was looking at several other tumor types as well and I was wondering if one should expect to see update from some of those other tumor cohorts potentially at some point in the near future?
Mondher Mahjoubi: So thank you, Michael. Do you want to ask all the question or get them one-by-one? I didn't get really what you said earlier.
Michael Schmidt: Yeah, I'll just ask one-by-one.
Mondher Mahjoubi: Okay. No, I think for lirilumab, I'm going to ask Pierre Dodion who is on the call with me to provide you an update. But I think it's useful to remind everyone that lirilumab is -- development is completing in the hands of BMS, so we are not really in control of what's really happening with the development. However, we have regular interaction with our partner and I think Pierre will give you a quick overview on what's coming.
Pierre Dodion : Yes thanks Mondher. We have full BMS very extensive exploration of lirilumab in solid tumors and hematological malignancies. I will divide in two parts what was initiated in the very beginning. But then more importantly in the spring of 2017 there was a further expansion of the program totaling now up to 650 patients. It is indeed difficult for us to provide a specific update on the status of each of these trials the trails are conducted by BMS. They operate these trials on their own and communicate to us only specific point. At this stage, we have not received any practical indication as to whether or when exactly this data communication will take place, but we'll certainly let you know as soon as we are informed by our partner. 
Michael Schmidt: Okay, great. Thanks. And then on monalizumab, again great to see that the durvalumab combination study is now in dose expansion, can you just remind us on the various dose expansion cohorts and maybe how you see that this combination positioned relative to some of the other emerging IL combos. We've seen some data now from IDO and [indiscernible] inhibitors and just wondering how you think about the evolving space and where it could potentially have the differentiation factor. Thanks.
Mondher Mahjoubi: So I'll start and Pierre will provide you with the update on the program itself. I think the best way to start is to remind everyone that monalizumab target is NKG2A which is part of the clear family is explicit on NK-cell but also T-cell. And there is a logic synergy in combining monalizumab with an anti-PD-1 PDL-1. Indeed we have really generated great deal of technical data to support that combination. And I don't see it as competing with a combination with IDO there is potentially even synergy in adding to that. I think the positioning and the strategy for monalizumab goes into two potentially three direction that again could be complementary with other combination strategy. First of all, try to enhance the activity of durvalumab in those IO sensitive tumors. We know that it's not the panacea and probably by combining durvalumab we could in tumors where durvalumab has shown activity we could improve on that. Second, try to reverse resistance to durvalumab still in the same type of cancer that progressed at one point in time. And we are working on demonstrating that in one indication in particular that we did not disclosed. And the third pillar of the strategy for monalizumab is to explore whether we can turn some cold resistant tumors, IO resistant tumor into sensitive one. So gone and there is now well known cancer types where anti-PD-1 or PDL-1 have shown activity and explore whether the combination of monalizumab with durvalumab can produce effect. These are the three pillar of the strategy and that was the basis of the thinking and design of the clinical development plan for monalizumab with AstraZeneca. Now I hand over to Pierre to update you on the progress of this cohort. 
Pierre Dodion : Yes thank you, Mondher. In fact AstraZeneca moving on more responsible for the execution of the monalizumab durvalumab combination trial they have elected not to disclose the specific indications in which expansion cohorts are being performed. So I am not in a position to give more precision. However, what I would like to say is that AstraZeneca maybe will elect to go in a certain number of indications their phase rational to go beyond that initial list based on the biology of various cancer sub types the commercial opportunity and other considerations are something that we are heavily discussing you with our partner in order to further pull in the program. 
Michael Schmidt: Great, thank you. And one last question if I may. So, we may see a potential regulatory approval in CTCL in the near-term in cell genetics et cetera is underway right now and I was just wondering how you think this may affect your development plans for 4102 in terms of the market positioning?
Mondher Mahjoubi: Great question Mike, thanks for the opportunity to may be put the development of IPH4102 a little bit into context. And to make a long story short and simplify the strategy, we have the first to market strategy in a niche indication where nothing is appropriate. Because until Sezary syndrome was already passed if any of the broader CTCL label. I think the certain of the disease where we followed the Phase I has shown us that there is very high medical need in heavily pretreated Sezary syndrome patient that could benefit from this drug. The safety profile and the preliminary, but very promising signal of activity justify that we; A, generate more data which we are doing; and explore first to market strategy in the today's small niche indication. Now, beyond that of course the goal is to explore the role all that 4102 can play in CTCL in earlier line of therapy and even beyond CTCL. What I can say is that there are multiple drugs that are used some of them are not necessary approved including chemotherapy in this filed and there are new drugs as what you mentioned with innovative mechanism of action targeting either CD30 or eventually 60 or for. But this will be as you know developed and essentially going to second line. Our goal is to differentiate look at opportunity to develop the drug eventually in combination and in combination where we do not compromise on the overall safety profile. Because what is of paramount for this patient of course is not only to provide response, but to maintain a good quality of life and have a good safety profile, which is the case so far and this will be preliminary data that we have. And it happens that molecules that one you mentioned in may have some toxicity an allergic toxicity or eventually skin toxicity that could compromise the long-term use and the long-term benefit. So, we will differentiate on two aspects, on the safety profile one, but also on the combination strategy with other molecules that can improve the overall efficacy of the drug.
Michael Schmidt: Perfect, great. Thanks again and congrats on the progress.
Mondher Mahjoubi: Thanks, Mike.
Operator: We have a next quarter from Mr. Swayampakula Ramakanth from HCW. Sir, the floor is yours.
Swayampakula Ramakanth: Thank you and good morning, Mondher, this is RK from HCW. 
Mondher Mahjoubi: Hi, how are you RK.
Swayampakula Ramakanth: Good, good. Couple of quick questions, so in terms of thinking about potential indications that in it could be looking into when you start your clinical program is 5401 in 2018, is there some commentary that you can give us?
Mondher Mahjoubi: Okay. I'm going to hand over to Pierre in a moment, but I would just like to refer you back to slide number 10 to just remind you a little bit again the context. I think at least two potential approach in developing 5401. Of course we will look at the level of expression of C5aR and as you know C5aR is expressive on multiple tumor types in particular solid tumors like bladder cancer, renal cancer, hepatocarcinoma, colorectal cancer you name it, I mean there is a long list of tumor types where we know there is a high level of expression and that's probably something to take into consideration the target itself. But in the same time when we think of know which indication and which tumor type we take into consideration the immune sensitivity of the cancer in particular whether PD-1 PD-L1 work and what’s the level of activity. And clearly again you could divide those at least in two eventually three categories you have those tumor types where there is no activity at all. We know today that PD-1 PD-L1 doesn’t work and there is a chance or reason to believe at least when you understand the role that MDSC play there is a potential you know to unlock the activity and the power of the anti PD-1 or PD-L1 by simply blocking the C5a C5aR cascade signal. Okay, that’s one approach. The second approach of course is to go into this tumor type where there is some activity we know that IO works, but we could enhance that activity and even I believe maximize the benefit of the combination and that’s the most logic probably low risk approach that we should follow and that’s what we are working on with our experts and with our clinical development team. And I am going to hand over to Pierre to provide you highlight on the progress on that front. Pierre?
Pierre Dodion : Yes thanks Mondher. I think that first and foremost the general principle that you -- not general biological principles that you have reminded absolutely crucial and at the heart of the selection process. Now in addition to that there are other factors like quite obviously the frequency of C5aR positivity among various tumor types, this data have been published in various publications so it’s another important piece of information. Can it be the commercial opportunity is another critical consideration and then finally I would say that we also factor in the clinical development strategy and I am referring here to the size and duration of clinical trials some strategies could indeed lead to accelerated approvals and fast to market strategies as opposed to other strategies which may provide the same but at a later stage. All this is not by the way neutrally exclusive and we are actually pursuing several options, we are going to go come back to you and to the market in due time when those options have been finalized. 
Swayampakula Ramakanth: Thank you, both. In terms of 4102 we have seen some progress in the CTCL obviously you had talked to us about the Sezary syndrome. What are the indications would you be looking at in terms of beyond CTCL where 4102 could find its place? 
Mondher Mahjoubi: Pierre, since you have the mike and you are working on the overall development plan for 4102, you want to provide...
Pierre Dodion : Sure, thank you Mondher. We guided by biology this is a recurring theme in our entire clinical development program and since the target for IPH4102 is clear PDL-2 that is the target that we are looking for in other tumor types. Clear PDL-2 is expressed by CTCL including Sezary but also PTCL peripheral T-cell Lymphoma and leukemia as well as the other T-cell leukemia and lymphoma or ATLL. So these are our opinion interesting diseases in which one could consider development of IPH4102, we are working on this and again we will come back to you as soon as those clinical development more clearly defined. 
Swayampakula Ramakanth: Okay, thank you. The last couple of questions on the preclinical portfolio. Mondher, I was just trying to (Inaudible) what could be exciting within the preclinical portfolio for Innate beyond 5401. That’s question number one. Question number two is, regarding the Sanofi collaboration, what would be the next steps or announcements that we should expect, so that we understand your progress with the Sanofi collaboration?
Mondher Mahjoubi: Thank you. Actually these are really great questions and we have the opportunity to have Yannis Morel actually who is in-charge of the entire portfolio with us today. So he will give you a quick review on the pipeline and what’s exciting. But let me say that, if you had ask me the question six months ago, was too early for me to probably provide definitive answer, but now I can say that this is one of the really most exciting pipeline, not only because of the progress we are making within our clinical stages, but because of the really innovative target that we are working on. And if I may just add one target that is really of paramount in addition to C5aR, I would say the adenosine pathway. This is something that other companies actually have already identified and started working on and I think we have in our pipeline two assets, two antibodies that could really be game changers and of course they are still in the pre-clinic, but it’s for me the opportunity to handover to Yannis to tell you a little bit more about these two assets and the collaboration with Sanofi around the bio specific. Yannis
Yannis Morel : Thank you, Mondher. Yes I think that’s in our pipeline the assets is the next asset that will enter clinic at the C5aR are the assets on the adenosine platform and here we have two differentiated antibody, one that is targeting to CD39 and another one that’s targeting CD73 and it has quite differentiated and potential superior activity to compared to the BMS and the [immune] antibody that’s up jointly in Phase I in combination with PD-1. But I’ll give you the backbone of our antibody -- of our adenosine platform is CD39 for which we are really searching guys [ph] on this target and it had basically two effects by blocking this enzyme we decrease the generation of adenosine, which is immune suppressive, but we also increased and accumulate ACP which is immuno stimulating and basically that is the only enzyme that can do that. Whereas when you block down same CD73 you cannot accumulate ACP. So with this dual approach of two antibodies targeting two sequential enzyme of the pathway we can have here potential differentiating approach on this entire family of molecule. Concerning the Sanofi collaboration…
Mondher Mahjoubi: Entering the clinic.
Yannis Morel : And we are targeting to enter the clinic in 2019. With regard to the Sanofi collaboration, we started the collaboration in January 2016 and its collaboration where Sanofi is providing two tumor targets and they are owned by specific formats. Innate providing its own bio specific formats and the antibody that’s activating the NK cells for the NKp46 arm of the bio specific and we have basically three years to generate the best accommodate for each target and then after this initial results period Sanofi should direct on it to move the product into development. And so that’s in the short term you should not anticipate any news from this collaboration, but more likely in the coming years. 
Swayampakula Ramakanth: Thank you folks, thank you very much Mondher and team, very helpful. 
Mondher Mahjoubi: You’re welcome, thank you look forward to meeting you soon. Bye, bye.
Operator: So we have no further questions. [Operator Instructions] We have no questions.
Mondher Mahjoubi: Okay, so maybe then I would like to thank everyone for really taking the time to join the call and we look forward to updating you on the progress of our pipeline soon. Thank you very much, have a great day, great evening. Bye-bye.